Operator: Good morning and welcome to the Sensata Technologies Holding N.V. Second Quarter 2015 Earnings Conference Call. At this time I would like to inform you that this conference call is being recorded and that all participants are in a listen-only mode. For opening remarks and introductions I will turn the call over to Jacob Sayer, Vice President of Treasury and Investor Relations. Mr. Sayer, you may begin.
Jacob Sayer: Thank you Steve and good morning everyone. Earlier today Sensata issued a press release describing its financial performance for their second quarter 2015. If you did not receive a copy, you may obtain it from the Investor Relations section of our website at sensata.com. As a reminder, this call is being webcast live and a replay will be available in the Investor Relations section of our website. Today’s discussion will contain forward-looking statements based on the business environment as we currently see it, and as such it does include certain risks and uncertainties. Please refer to our press release and our 10-Q and 10-K filings for more information on the specific risk factors that could cause our actual results to differ materially from the projections described in today’s discussion. In addition to U.S. GAAP reporting we reported certain financial measures that do not confirm to Generally Accepted Accounting Principles. We believe these non-GAAP measures enhance the understanding of our performance. Reconciliations between these GAAP and non-GAAP measures are included in the tables found in today’s press release, as well as in the Investor Relations section of our website under Financial Reports. Comments made during today’s call will primarily refer to our non-GAAP financial results. On the call with me today are Martha Sullivan, our President and Chief Executive Officer and Paul Vasington, our Chief Financial Officer. We’ll hold questions until after our prepared remarks, but if you’d like to get in the queue, please do so by pressing the star key followed by the number one. I’ll now turn the call over to Martha to review highlights from the quarter and trends in the end markets we serve. Martha.
Martha Sullivan : Thanks Jacob and thank you all for joining our second quarter 2015 conference call. Our strategic imperative to win in sensing and drive long term secular growth for Sensata remains strong and Sensata continues to deliver on promised double digit revenue and earnings growth for our shareholders. Key highlights for the second quarter include record net revenue of $770 million, an increase of 34% from the second quarter of 2014, including 16% organic revenue growth in the European automotive end market. Net revenue and performance sensing grew 51% in the quarter from the prior year, driven by acquired revenue from Schrader and DeltaTech and by 6% organic growth. Net revenue in sensing solutions shrink by 6% compared to a strong prior year quarter and by 8% organically, due primary to a weakening market in China, as indicated by the fourth consecutive month of weak manufacturing PMI data and inventory destocking, primarily impacting the industrial and appliance and HVAC markets. Record adjusted net income of $125 million or $0.73 per diluted share in line with our expectations and adjusted net income margins in our core business continue to expand year-over-year and Schrader’s margins exceeded expectations. New sensor program launches driving content growth remain on schedule and while certain markets were weaker than expected, primarily China in off-road vehicles, content growth enabled us to deliver 2% organic growth in the quarter. Given the market backdrop, we have taken action to improve our cost position and deliver profits in line with our expectations for the quarter. Our revenue from the European automotive end market grew 52% in the second quarter as compared to the year ago quarter, primarily as a result of the impact of the acquisition of Schrader, as well as content and market growth in line with our expectations, offset somewhat by the impact of foreign currency exchange rate movements. On a constant currency basis our organic revenue growth from the European automotive end market was 16% in the second quarter as compared to the prior year, primarily due to content growth, including the impact of the Euro 6 emissions regulations. We believe that we have now benefited from roughly three quarters of the anticipated $80 million to $85 million in annualized Euro 6 related revenue. Third party forecast continue to call for modest automotive production growth in Europe in 2015 and new passenger car registrations are growing up 8.2% in the first half of 2015 confirming our belief from the beginning of the year that we would see at least a few points of automotive production growth this year in Europe. In North America our automotive revenue grew 75% in the second quarter year-over-year, reflecting the impact of the acquisition of Schrader, underlying production growth and sensing content growth in the region. Our revenue was up 15% from a year ago quarter in the Asian Automotive market, primarily a result of acquisitions and content growth, offset somewhat by weakness in the end market. Vehicle production in Japan and Korea have been in decline for some time and this is expected to continue. In China automotive and commercial truck sales and exceptions for production growth rates have slowed. Local sources are now predicting automotive market growth in China for 2015 to be less than half of what it was expected at the beginning of the year. While content growth remains strong in China as OEMs seek to become compliant with outstanding emissions regulations, we no longer expect to see meaningful production growth there for the second half of the year. Our revenue from the heavy vehicle off road market grew again this quarter up 48% from a year ago, reflecting primarily the acquisition on DeltaTech controls, offset somewhat by weakens in the off road vehicle market, especially for agricultural and manufacturing equipment, which appears to be contracting at mid-teens rate. The on-road market appears to be growing at a low single digit pace. Organically our revenue from the HVOR end market was down less than the overall market; thanks to increasing content. Within the sensing solutions is a small, but gowning industrial sensor unit that served OEMs in HVAC and industrial markets. Despite market headwinds, industrial sensing revenue grew in the quarter from a year ago and was up over 20% sequentially, driven by content growth from energy efficiency and emissions requirements that those OEMs need to address. However the appliance in HVAC and industrial end markets are primarily served with our electrical protection control products from our sensing solutions business unit. Revenue fell in these end markets organically as China broadly weakened and customers wrote down inventory in this weakening economic environment. Control products within sensing solutions do not benefit from content growth that drives sensor revenue growth. Consequently our revenue in the appliance and HVAC end market was down 9% in the second quarter. For Sensata the most important driver of organic revenue growth is designing new sensors for applications within automotive, heavy vehicles, HVAC and industrial systems. These new sensor designs drive secular growth for Sensata, fueling organic growth even in years like this one where markets are now expected to prove a headwind to revenue. We collaborate closely with OEM customers to identify new applications driven by energy efficiency, safety and emissions requirement at early stages of development and then design mission critical custom sensors that help enable these applications. As one example of the regulatory requirements that help drive our content growth, during the quarter the EPA and NIFA jointly proposed Phase II of National Green House Gas and Fuel Efficiency Standards from medium and heavy duty vehicles in the U.S. These standards are intended to extend the gains made from the Phase I program and will apply from 2018 to 2027. The proposed Phase II standards address on-road heavy vehicles from large tractor trailers to heavy duty pickups, vans and buses and seek to improve fuel efficiency by an average of 20%. The Phase II standards will be a meaningful driver of our HVOR business in the U.S. and in the coming years and are expected to be a template for heavy vehicle regulations globally. The integration of our acquisitions is proceeding well, including the cost of financing and integration acquisitions were in total accretive to Sensata’s adjusted net income per diluted share and Schrader is exceeding profit exceptions. During the quarter we decided to close Schrader’s Brazilian business unit. This is a small unprofitable business that did not have the scale to compete effectively in its local market. Schrader Brazil does not manufacture sensors but is primarily a machine tooling and molding operation that was not core to the investment pieces and which we chose not to integrate. As a consequence of that decision, we took a charge of approximately $9 million that was added back during the quarter and expect a small loss of net revenues going forward. $4.5 million of the change was in cash and we expect an approximately two year payback. I’d now like to turn the call over to Paul to review our second quarter results in more detail, as well as to provide third quarter and updated full year financial guidance. Paul.
Paul Vasington: Thank you, Martha. Second quarter 2015 net revenue of $770.4 million, increased 33.8% compared to the second quarter of 2014. Of this acquisitions contributed 35.2% and organic revenue growth contributed 8%. Changes in foreign currency exchange rates, primarily the euro represented a net revenue headwind of 3.1%. Second quarter adjusted net income was $124.6 million or 16.2% of net revenue. Adjusted EBITDA for the second quarter was $184.2 million or 23.9% of net revenue. When compared to the prior year, profitability indices are lower in the second quarter, primarily due to the impact of acquisitions which included integration costs of $4.2 million. Productivity gains for operating efficiencies more than offset investments in research, development and engineering, which are critical to the development and execution of our expanding pipeline and new business wins and opportunities. Core adjusted net income margins expanded in the second quarter up 70 basis points for the prior year. In addition to the closing of Schrader Brazil, structuring and special changes were recorded in the quarter reflecting activities management is undertaking in response to weaker end markets and to resolve pre-acquisition loss contingencies. Restructuring activities include organizational and process changes to align our structure with our strategy and help enable us to continue to grow margin. Included in special charges is approximately $5 million of charges to resolve pre-acquisition loss contingencies which have been disclosed in our 10-Q under pending litigation in clients. Cash taxes in the second quarter were approximately $8.2 million or 5.1% of adjusted EBIT. We expect cash taxes for the full year 2015 to be in the range of 5% to 6% of adjusted EBIT. Sensata hedge was a significant portion of its net earnings exposure to foreign currencies. As a result, the impact of exchange rates on earnings represents the weighted average impact of the prior movement. In the second quarter the changes in foreign currency exchange rates had an unfavorable impact of approximately 3.1% of net revenue and $0.01 to adjusted net income per share. For the full year 2015 we continue to expect a 2% to 3% unfavorable impact to net revenue and a 3% to 5% unfavorable impact to adjusted net income per diluted share as a result of changes in foreign exchange rates. During the second quarter we took advantage of the attractive capital market environment to further optimize our capital structure by re-pricing our outstanding secured term loans at an economically positive transaction. We combined the two outstanding term loan charges into one, extended the combine maturity to October 2021 and lowered the interest rates saving approximately $4 million in annual interest expense. Financing and other transaction costs of $6 million relating primarily to the re-pricing as well as the redemption of the remaining 6.5% senior notes were added back to our non-GAAP results for the quarter. Free cash flow for the second quarter was $60 million. We invested $49 million in capital expenses during the quarter and working capital consumed cash as receivables expanded in line with a higher revenue. Inventory management improved and days on hand in now at 60 days, a substantial improvement from December as we work down buffer inventory that was brought on last year to support customers during our ERP system upgrade. Cash at June 30, 2015 was $227 million and we now expect free cash flow to be between $375 million and $425 million during 2015. Now, I’d like to comment on the performance of our two business segments. Performance sensing net revenue was $606 million for the second quarter, up 51% from the year-ago quarter, as a result of acquired revenue and robust new program launches that continue to gain momentum, partly offset by the impact of changes in foreign currency exchange rates, the impact of product obsolescence and weakness in the HVOR market. Organic volume growth which excludes the impact of price downs grew 8% in the second quarter from the same period in 2014. Performance sensing profit from operations were at $153 million, up 36% from the year ago quarter, primarily as a result of acquired revenue, content growth and productivity gains, partly offset by annual price downs and investments in research and development and engineering, which are critical in developing and executing on our expanding pipeline with new business wins and opportunities. Performance sensing profit from operations index of 25.2% was lower than the second quarter of 2014, primarily due to the impact of acquisitions and annual price downs. Sensing solutions net revenue was $164 million for the second quarter, down 6% from a strong year ago quarter, due primary to a broadly weaker China, resulting in lower volumes, and inventory destocking in the industrial and appliance and HVAC end markets and favorable impact of changes in foreign currency exchange rates and weakness in communications in semiconductor markets offset somewhat by acquired revenue. With the exception of industrial sensing, sensing solutions products do not benefit from content growth drivers. As a consequence changes in revenue are highly influenced by the risk and all of its end markets and given weakness in its end markets, we expect sensing solutions revenue to continue to be soft for the third quarter of the year, are taking actions to address costs within the solutions business segments. Sensing solutions profit from operations were $52 million, a decline of 3% from the same quarter last year, primarily due to lower volumes. Despite revenue headwinds sensing solutions profit from operations index of 31.8% was higher than the second quarter of 2014, primarily due to the impact of cost control and productivity improvements. Corporate and other costs not included in segment operating income was $56.8 million in the second quarter. These costs are higher in the second quarter of 2014 due to the addition of corporate costs for the acquisitions, restructuring activities in the quarter, settlement of pre-acquisition loss contingencies and the closure of Schrader, Brazil. We also incurred approximately $3.3 million in legal fees during the quarter to successfully stand against the IP litigations that had been brought been by Bridgestone against Schrader in the U.S. We expect corporate and other costs to contract in the second half of the year. We are lowing and tightening our full year net revenue guidance to reflect a broadly weaker China and continued weakness in the HVOR off-road segment. However, we are maintaining the midpoint of our full year guidance on the adjusted EBITDA and adjusted net income, other efforts to improve our cost position, as well as greater than expected profit from acquisitions provide a list of profitability in the second half of the year. Details of our updated financial guidance for the full year of 2015 include net revenue of $2.990 billion to $3.70 billion, which at the midpoint is an increase of approximately 26% from 2014 and includes organic growth of 3% to 4% and FX headwinds of 2% to 3%. Key revenue growth assumptions impacting the full year include acquired revenue growth aligned with our initial expectations; auto production growth in North America and Europe in the low single digits; accelerating content growth especially in Europe with the adoption of Euro 6, all these probably offset by the unfavorable impact of a broadly weaker China that negatively impacts demand for electrical protection control products in the industrial plants and HVA end markets, as well as negatively impact passenger vehicle production in China during the second half of the year; weak demand in East Europe construction, agriculture and mining in HVOR in China; inventory destocking in industrial and appliance at HVAC channels with an accepted return and normal buying patterns in the fourth quarter, albeit in a lower growth environment. Expected adjusted EBITDA of $765 million; adjusted net income of $491 m to $511 million, which reflects the low revenue guidance offset by improved cost positions from increased operating efficiencies, higher sourcing phasing, cost control and greater than expected profits so for in the businesses; adjusted net income per diluted share of $2.86 to $2.98 reflecting a fully diluted share count of $171.7 million shares. Financial guidance for the third quarter of 2015 includes net revenue of $715 million to $755 million, which at the midpoint is an increase of approximately 27% for the third quarter of 2014. Our product bill rate stands at approximately 82% at the midpoint of this guidance. Key revenue growth assumptions impacting the third quarter include normal seasonal decline in European automotive production levels and HVC end markets, like inventory destocking, launch for protection to control products to slow down in China affecting their vehicle production. We expect adjusted EBITDA of $176 million to $188 million; adjusted net income of $117 million to $127 million and adjusted net income per diluted share of $0.68 to $0.74, reflecting a fully diluted share account of 171.8 million shares. In summary, we reported record net revenue in earnings for Sensata for the second quarter 2015 and despite weaker end markets delivering earnings on target with expectations; Sensata continues to deliver on its promises of strong double digit, revenue and earnings growth probably enabled by superior capital deployment of high returning computable acquisitions. We’re happy to take questions that listeners may have. Operator, please introduce the first question.
Operator: Thank you, Mr. Vasington. [Operator Instructions]. Your first question comes from Wamsi Mohan from Bank of America. Your line is open.
Wamsi Mohan: Yes, thank you. Good morning. Paul or Martha when you take the midpoint of revenue guidance for the third quarter, it seems the lowered full year guidance is almost entirely from the weaker trends in the third quarter. Just wondering, what gives you the confidence that 4Q will be up so much stronger sequentially. And I have a follow-up.
Martha Sullivan: Yes, hi Wamsi. Thanks for the question. The way we’re thinking about the second half, we expect that this inventory destocking that’s impacting the controls portfolio within sensing solutions will continue through the third quarter. When we look at half trends we’ve seen the phenomena before and roughly we’re talking about between two to three quarters of destocking typically when there’s a market correction on that business and so looking at those past trends, we expect that to have that behind us in the fourth quarter and so that’s one element of our overall assumption. When we look at where our production rates land throughout the fourth quarter, that’s an additional piece. When we look at the fact that we’re all in by the time we get to the fourth quarter on Euro 6, that’s also something that drives our expectation for the fourth quarter revenue.
Wamsi Mohan: Okay, thank you. Thanks Martha. And then on the auto side, can you help us sort of think through the magnitude and I know you don’t report it this way, but can you talk about the magnitude of the revenue impact from weaker exports from Europe to China versus the true production slowdown in China on the auto side. Thanks.
Martha Sullivan: Yes, I don’t think we can help you with that one Wamsi, because we don’t have our content laid out inside Europe between stays in country or exploits, so unfortunately can’t help you a lot with that. I would say, if it’s helpful, our content per vehicle is roughly similar to the cars that stay in Europe versus go to China, maybe somewhat weaker because you have less diesel content there. So if you look at overall exports from Europe to China and you think about high 20’s to low 30’s, you might get a sense for Sensata’s content.
Wamsi Mohan: Okay, thanks. If I could just sneak one more and Paul mentioned corporate and other costs lower in the second half, can you give us the magnitude of that versus on a like half on half basis? Thanks.
Paul Vasington: Sure Wamsi. The way I think about it, $56 million this and most of that increase, nearly $20 million of that $56 million is related to the Brazil shutdown, the restructuring activities and special charges which we are adding back. So I think we’ll get back in to the $40 million range, $35 million to $40 million range on a run rate basis.
Wamsi Mohan: Great, thank you.
Operator: Thank you. Your next question comes from the line of Craig Hettenbach with Morgan Stanley. Your line is open.
Craig Hettenbach: Yes, thank you. Just a question on the Q3 guidance as you look between segments, between the performance sensing. If you look at today versus a quarter ago, just curious, how much is more of the destocking effect in the kind of controls type business versus the China slowdown on the auto side; just to kind of give some context in terms of where the provisions are coming from.
Martha Sullivan: It’s primarily on the sensing solution side of the business; the point being that we continue to perform very, very well with sensing content growth in China. So if you look at performance sensing in the quarter, in the second quarter when we were at a 10% overall growth, actually 13% overall growth rate organically there, so the primarily correction for us is on the sensing solution side.
Craig Hettenbach: Got it. And then on the sensing solution Martha, we’ve seen a number of these kind of corrections, not just for you guys, but just for the overall component space in the last couple of years. I’m just curious to get your take in terms of how you see the supply chain react in times like this and maybe a follow to the first question in terms of visibility like the types of forecasts your getting kind in Q2 into Q3 and kind of confidence that this is being, you know they kind of run this course in Q3.
Martha Sullivan: Yes, it’s absolutely volatile, particularly for this controlled portfolio within the sensing solution where we sit farther back in the supply chain. It’s not unfamiliar. We’ve been through these kinds of corrections in the past. Visibility typically pulls in, so that’s not surprising to us and so we’re very much relying on patterns from the past to call the second half of the year and we do expect more of this inventory destocking in the third quarter.
Craig Hettenbach: Okay, I appreciate it. Thank you.
Paul Vasington: Thanks a lot.
Operator: Thank you. Your next question comes from the line of Amit Daryanani with RBC Capital Markets. Your line is open.
Amit Daryanani: Thanks a lot. Good afternoon guys, good morning guys; it’s too early for me. I just want to go back to Wamsi’s question. When I look at the December quarter guide, just on the EBITDA basis, it looks like you guys are implying low double digits kind of EBITDA growth sequentially September to December. I get the comforter on sales growth, but can you just walk through how you got double digit EBITDA growth in December?
Martha Sullivan: We talked to the revenue trends on that pace. Let’s take you through some of the things that are improving our margins as we go through the year and Paul, what don’t you get to that?
Paul Vasington: There’s a couple of key things and we continue to see greater operating efficiencies in our business, both on the manufacturing side and also on the back office. And same where we’ll be seeing greater traction in our sourcing initiatives. So we are improvement there, that’s driving to improve profitability. We’re clearly controlling costs and being very thoughtful on our investments and we’re seeing better performance within the acquisitions. They are performing better, Schrader is performing better and so that is definitely offsetting some of the weakness we are seeing on the top line.
Martha Sullivan: Keep in mind a big part of the margin improvement over time in performance sensing is driven by the pace of our integrations. So when we closed on Schrader you actually saw our index come down; that’s not unusual. We acquire businesses that are rarely ever at the margins of Sensata and then we spend time integrating to improve our overall margin. So as the year progresses and the close dates of those acquisitions become more in the rear view mirror, you will see our margins improve.
Amit Daryanani: Got it. And as a follow up I was wondering, can you just talk about what you’re seeing in China, both from a senor and industrial sensing basis. Is your expectation that the softness we’re seeing is going to be a one, two quarter blip or do you think it’s going to sustain perhaps in the calendar ’16, especially in the auto production side. And then broadly, just how much is China as a percent of sales for you.
Martha Sullivan: Yes, so a few things to unpack there. I believe that China is currently sitting at about 17% of our overall revenue.
Paul Vasington: Altogether it’s a little bit less and our total comes down.
Martha Sullivan: Yes, okay. So we’re at about 12%. There is enough volatility there now that it’s difficult to know what’s going to happen as we enter into 2016. At this point what I would characterize is we’re seeing a production slowdown on the auto side. We’re not seeing the same level of volatility in auto as we’re seeing in other end markets in China. So a little more disciplined than the other end markets, so at this point a bit early for us to call 2016.
Amit Daryanani: Thank you.
Paul Vasington: Thanks Amit.
Operator: Your next question comes from Mark Delaney with Goldman Sachs.
Mark Delaney: Yes, good morning and thanks very much for taking the questions. First question is I’m going to follow up on some of the cost reductions that the company has just talked about implementing. Can you just help us understand how sustainable some of these actions are, especially into 2016 and naturally some of them are permanent reductions, especially the actions in Brazil and Paul you mentioned doing some stuff around sensing solutions and it has been slower. Any of these are sort of kind of cup cost cuts that are only in the second half and yet – or it can that be sustained into next year.
Paul Vasington: I think they can be sustained at next year, a large portion. Brazil certainly was losing money, so there is definite savings there. We’ve had some markets that have underperformed. We need to take action and restructure it and reduce headcount and resources and that’s a sustainable saving. We’re restructuring some of our resource development activities in Europe, so we’re recognizing that, so we have a headwind next year and so we’re taking cost actions there. We’re also moving production to Europe, the local lines and keep it as a lower cost point so we can optimize in our best delivery costs. So these are things that we’re doing. Now we’re often getting very – we’re very aggressive on the sourcing side and continue to push to maximize our entitled opportunity on that front as well.
Martha Sullivan: Just one comment on the product investment side, the R&D - we call it RD&E side of the work that we’re doing. One of the things that Sensata benefits from is an extremely effective global footprint, including low cost country and we are constantly looking at ways to optimize what we do in those locations. So Paul mentioned Europe and our RD&E efforts in Europe. It’s a really important market to us. We have a strong growing engineering team in Bulgaria, so we’re actually moving some of what we do to Bulgaria and that’s the kind of optimization that sensate is constantly doing and we do it in a way to make sure that it is sustainable.
Mark Delaney: That’s helpful, thanks and then as a follow on to that question. Can you just update us on how profitable on the EPS line Schrader is now for 2015 and irrelative to the prior guidance, I think it was $0.18 to $0.20. And then given the cost actions the company is taking, any sort of comments you can provide to how accretive Schrader will be in 2016?
Paul Vasington: I would say that we are certainly better than the range that we gave before. We’re probably $0.03, $0.04, maybe $0.05 better than what we originally anticipated and the business continues to perform very well and we’re seeing – the top line is where we expect it, but they are certainly delivering much better on the gross margin than on the A&I level. So that’s certainly a tailwind for us.
Martha Sullivan: Yes, and I think the thing we’re always balancing is that we actually are spending money on the integration, so we’ll tend to net all of that out, so those are the two parts. Now that business is actually performing and what we’re spending on the overall integration and we’re continuing to look at that budget, both on the near term and the long term as we moved into 2016.
Mark Delaney: Okay. I mean, I think there is three to four years originally to fully integrate Schrader and get to the EPS accretion target. I mean that’s still the rough timeframe to think about or is there any thoughts about implementing…
Paul Vasington: I mean the plan itself is still intact and we’re still on track.
Mark Delaney: Okay, thank you.
Paul Vasington: Thanks Mark.
Operator: The next question comes from William Stein with SunTrust.
William Stein: Good morning and thanks for taking my question. Can you please remind us of the commodity percent of your costs? Copper and gold are certainly down quite a bit from your prior peaks. It looks like they continue to decline today and I’m wondering to what degree that’s benefitting the margins as part of this higher margin we’re looking for later in the year?
Paul Vasington: We’ve said before, it’s about 2% of our revenue. Well, we have a hedging program so we’re going to be really transparent here. We’ve been hedging similar to our foreign exchange program, so we’re not currently seeing the benefit, the complete benefit of the local mining cost because we average into that lower cost environment, so it’s not as helpful as you would have expected.
William Stein: Great, that’s helpful, thank you. And maybe one more, can you remind us of your view of acceptable leverage and what level we look for you to achieve before you would contemplate another acquisition.
Paul Vasington: Our long term goal of two or three times that leverage hasn’t changed, but we have to reiterate that M&A is our priority for capital deployment. We are comfortable at operating at higher leverage for a period of time, but our overall strategic goal has not changed.
William Stein: If I can squeeze one more in, I think in the past you’ve talked about some orders for TPMS in China, while it hasn’t been mandated yet. That would of course be a much bigger potential upside. Can you talk about both of those orders and then the potential for a mandate for TPMS in China?
Martha Sullivan: Sure. We have seen some orders come in; some design that’s come in well ahead of regulation and that is encouraging. It’s not a terribly material part of the overall business at this point, but for example early in year we geared a win with a local producer that was worth about $30 million in revenue. I think we’ve had an additional $15 million or so and these are design-ins that will play out over the three or four year horizon as we see in other parts of the automotive landscape. In terms of the regulation we’re really encouraged about what’s happening there. We have seen the rule making now come out. We’ve actually – we’re at the point now where it’s very high confidence. There will be regulation and so the next phases that are underway are actually refining that regulation to take the specific thresholds for inflation and which OEMs have to comply, the timing. So some of the specific specifications are important and we continue to keep our eye on those, but we’ve seen great development on that front and remain confident that this will be regulated equipment in China.
William Stein: Thanks.
Paul Vasington: Thanks Will.
Operator: The next question comes from Christopher Glynn with Oppenheimer.
Christopher Glynn: Thank you. Good morning. Just wondering if you could clarify if the range of potential destocking activity in markets and geographies other than China that you’re seeing.
Martha Sullivan: We haven’t seen a lot of it elsewhere, though I guess one place I would point to and I know it’s more of a one off in the second quarter. We saw some distributor destocking that happened in the aftermarket for the aerospace business. Not typically something that’s all that impactful to us, but in this particular case we had a distributor who was overstocked and it had about a $3 million or $4 million impact on the business. Other than that there is not a lot of destocking activity that we see in our business.
Christopher Glynn: Yes, that certainly seems to qualify as one off and peculiar; that’s interesting. And then I just wanted to clarify was performance sensing 8% organic and total company was 6%?
Martha Sullivan: No, performance sensing was 8% on unit for organic and 6% if you include price impact.
Christopher Glynn: Got you. Okay, and then I just wanted to understand one of the add backs a little bit better. On the taxes it was $0.4 million differed in other income tax expense. But the add back was $5.4 million. Could you help me reconcile that?
Paul Vasington: Sure. We had an indemnification related to a pre-acquisition effect liability and during the second quarter we were able to favorably resolve that, we no longer require the indemnification. So that was part of selling expense and added back.
Christopher Glynn: Where was it in the GAAP P&L.?
Paul Vasington: Some of the indemnification was in selling expense, we had offsetting liability and that ran through the tax provision. So they net each other off. You see in taxes and SG&A in the two tables, which provide us slight benefit but what you are talking about is the identification piece.
Christopher Glynn: Okay got it. Thank you.
Martha Sullivan: Thanks Chris.
Operator: The next question comes from Rich Kwas with Wells Fargo.
Rich Kwas : Hi, good morning. Just wanted to check in and see on the outlook for the year. In terms of going from 6 to 3.5 at the mid-point on organic revenue growth if you take that 250, it seems like a good chunk of that is weighted towards sensing solutions versus performance sensing. But I don’t know if Martha or Paul. if you can give us a breakdown on that adjustment for the entire year, that 250.
Martha Sullivan: You’re correct Rich. It is primary waited on content solutions because that’s where we are seeing the headwind on organic growth, particularly late in the first and through the second quarter, so that’s primary what the drive is. In prior quarters we would have been able to count on end mark in China in auto for example to offset that. So we are not seeing a decline certainly on the performance sensing side, we are just not seeing any help from the end markets that would have helped us offset the kind of correction we are seeing on the sensing solution side.
Rich Kwas : And then for the balance of the year, what are you assuming for production for China or I guess for the full year at this point?
Martha Sullivan: Yes, I believe for the balance of the year we are about flat.
Paul Vasington: About flat
Martha Sullivan: About flat in our production assumption.
Paul Vasington: But we are assuming sequentially production get stronger from Q3 to Q4 as you normally expect, just year-over-year we are thinking about flat growth.
Rich Kwas : Okay, okay. And then you said 13% growth in China in performance sensing in the second quarter, correct year-over-year.
Martha Sullivan: That’s right.
Rich Kwas : Organic, okay. All right, and then if you take a look at the outlook for the balance of the year, I mean what are the risks here at this point. There is certainly a fair amount of concern around China auto. I mean, do you think you have that fully captured at this point or how confident are you about the back half.
Martha Sullivan: Yes, I think the risk areas are the ones you would expect if you look at what’s been a challenge for us year-to-date. Its primary this whole area on the sensing solutions, call it control products, just given there is a lot more volatility than just on the end market. So our base case has the demand at the same low point that we’ve seen and the destocking behind us as we enter the fourth quarter, that’s an important assumption for Sensata as we look ahead. I think the other elements of this, we don’t have a secret sauce on China. We are looking at the same data everybody is looking at and overall production rate. We think we have reflected a fairly extreme slowdown there. It has less impact on our business than it does for many, given that we do have strong content growth in China, but it is also an important element as we look at the second half of the year. The only other third dimension, again it’s the down markets you have to watch out for. We talk a lot about the off-road portion of heavy vehicle and off-road. So you think about OEMs who make tractors and construction equipment are dealing with, that’s been a volatile part of the business. On the flip side I will tell you, volatility goes both ways. We continue to look at the GAAP between production rates and registrations in Europe and so we really think we’ve put together a middle on the fairway guide here just recognizing there is volatility on both sides of the equation.
Rich Kwas : Martha, do you have one to two still for European light vehicle production for the year, is it?
Martha Sullivan: We do.
Rich Kwas : Okay. So there is potential that that could come in a little bit better and help out.
Martha Sullivan: That’s right.
Rich Kwas : Should we think of that as if it’s three or four then, that’s helped to the guide, that’s not part of the guide.
Martha Sullivan: That’s correct.
Rich Kwas : Okay. All right and then just quickly last one Paul on FX, the $0.12 to $0.20 impact that you talked about last quarter for 2016, any update there and then in terms of the cost activities and natural hedging. Any updated views there?
Paul Vasington: Well, we continue on our normal hedging program. The $0.12 to $0.20 is still or estimate basis on where the changes are and where we’ve been hedging into and the pace at which we’ve been hedging. The things I mentioned earlier, the actions we are taking its Brazil, its RD&E transition from one location to Bulgaria; it’s restructuring and underperforming markets. All those things are things we are doing to improve our cost structure, which will help us in ‘16 and help the mitigating factor against that foreign exchange headwind. And our work is not done here. We have a little more do with, but we are aggressive.
Rich Kwas : Okay. Thank you.
Paul Vasington: Thanks Rick.
Operator: Thank you. Your next question comes from the line of Jim Suva with Citi. Your line is open.
Jim Suva: Great, thank you very much. You had mentioned a Bridgestone litigation. Can you help us understand what’s the maximum exposure there if there is anything and kind of a little bit of a background? I assume this is related to Schrader in some regards or maybe I’m wrong on that. And if so was it all pre or post acquisition and do you have any type of protection from that. And then second question I have is on M&A. Some of the rest of the industry, such as the connector companies have been acquiring their way into sensors and are now talking about the merger of being able to sell solutions of sensors plus connectors together. Do you see this as something that over time is going to be a bit of a collision for Sensata, a way to react or is it simply that those things that they are talking about are more on the peripheral bumper side or infotainment side of things and you don’t see that in the harsh engines or over time do you see that these two areas will kind of come together more tightly. Thank you.
Paul Vasington: Yes, so I’ll take the first one. I’m sure Martha will want to handle the second. But on Bridgestone the first things would be, to refer to you our disclosures in our 10-Q. You will find a lot of detail in there regarding Bridgestone and Schrader. So Bridgestone sued Schrader for infringement. The short story here is that we had a trial in the U.S. and Schrader, Sensata, the result was favorable. That we did not infringe on the Bridgestone pact. The cost is to defend ourselves, but the outcome in the U.S. was stable for us. They are trying to appeal, but they have not appealed. They also have an action in Germany which is still ongoing what we are still defending.
Martha Sullivan: Hey Jim, your comment relative to connector companies buying sensor, this has been a phenomenon that folks have asked ask about now for over a year. It’s a little perplexing having been in the sensors business now for close to 30 eyras. We’ve never once been asked to provide a connector with our sensor. When we look at what’s important relative to the applications that we serve, it really is to have the best sensor and the best sensing capabilities. We don’t see a tremendous amount of synergies between that level of component treats. I think to mean it’s a reflection more of what’s available for growth in the connector space than anything else.
Jim Suva: Okay. Thank you very much.
Martha Sullivan: Thanks.
Operator: Thank you. Your next question comes from the line of Ambrish Srivastava with BMO. Your line is opened.
Ambrish Srivastava: Hi, thank you. Two questions my friend Paul. First one, just a block and tackling one. There have been several acquisitions. How should we be thinking about normal seasonality on a quarterly basis and we all understand there is no normal, but when we model out, how should we be thinking about the quarter over quarter. The second question on the HVOR side Martha, this has been a very good growth driver and I might have missed this. Did you refer to the weakness only in China or elsewhere as well, and then my assumption, is it correct that the content is higher than the higher end for this segment of the market. Thank you.
Martha Sullivan: Yes, the content is higher. The weakness in HVOR, it stems from two issues. One is the off-road part of the heavy vehicle markets. So you can think of it as on-road and off-road and there are two very different market dynamics underway. The off-road piece has been, had seen some real headwinds if you look at the end market alone. So we talk about the large equipment associated with off-roads. So mining equipment, construction equipment, Ag equipment. We are feeling the cyclical downturn on that equipment. Having said that, we are seeing substantial increases in sensors going in that equipment. So we are not feeling it to the extent that the end market is down. The truck side, or the on-road side at this point is operating at sort of low single digit product rate improvements with the big exception of China. So China has been down substantially on commercial truck, not a huge part of our business but again an area where we’ve seen a lot of content growth. So we think that these markets are really going to be important, continue to be important. There is a lot of regulations driving sensing content growth in those markets and so we are holding the course in terms of our investments into that end market and view the current environment in the areas that I talked about it as just being a cyclical phenomenon.
Ambrish Srivastava: Martha if I may, on the mining side, given what’s going on with commodities, just do you expect this to be a prolonged cyclical downturn?
Martha Sullivan: Well, mining is a very, very small part of what we do. So it’s kind of an academic to pay from our perspective. So when you look at how much of our overall equipment we are talking about it, it’s not all that important. I think that’s probably going to be the one that takes a longest to play and the longest to come back. So perhaps a little bit more than cyclic. And we look at the other elements like Ag, like construction, I think we are really looking at a cyclical phenomenon.
Ambrish Srivastava: Okay and then seasonality.
Paul Vasington: I would just say that the largest acquisition is Schrader. It performs like the rest of our auto business. The seasonality is very similar and it weighs heavily. So I would say the acquisitions don’t materially impact our normal historical seasonality.
Martha Sullivan: So perhaps the best way to look at that is take a look at performance sensing, historical quarter-to-quarter and we’ll see the same pattern in Schrader.
Ambrish Srivastava: Okay, thanks for all the details.
Martha Sullivan: Thanks.
Operator: Thank you. Your next question comes from the line of Jeremie Capron with CLSA. Your line is open.
Jeremie Capron: Thanks. Good morning. I wanted to ask you about the free cash flow outlook for the year. It looks like you’ve reduced it by $25 million or so. Just wondering what’s behind that. It looks like working capital is actually trending better than initially expected. So some more color here would be appreciated.
Paul Vasington: I appreciate the question. Two things to consider, so we’ve had these restructuring and special charges, we’ve added those back, but some of that will result in cash outlays and so funding those restructurings will have a bit of a negative impact on free cash flow, so we are taking that into account. And then I think the second thing is the linearity of our revenue, depending on how revenue plays out in the quarter, can affect our receivables and given the fact that the fourth quarter is now looking higher, it’s ramping up. Later in the quarter we are assuming that we are not going to get our receivables down as well as we originally expected that will flow into 2000.
Jeremie Capron: Okay and on the CapEx side, any change here and if you could give us an idea of what to expect going into next year. My understanding is we are basically at [indiscernible] CapEx in 2015.
Paul Vasington: Yes, the percentage of revenue, I would say that’s probably right. We are on track. We give a range of 175 to 200 and we are in that range and as we continue to progress, as we continue to grow when we build capacity and new product launches and we are going to continue investing capital. But we expect that the percentages, the percent of revenue to gradually come down over time here.
Jeremie Capron: Thanks very much.
Martha Sullivan: Thanks Jeremie.
Operator: Thank you. Your next question comes from the line of [Indiscernible] with Longbow. Your line is opened.
Unidentified Analyst: Hi, good morning. I’m calling on behalf of Shawn Harrison. Just two questions from me. First relative to the 250 basis point change in the organic, how should we now think about the OWS headwind? Is there any change to how you are thinking about that rolling-off?
Martha Sullivan: That’s the headwind we expect to be behind a tier in the second half. So our outlook on that has not change and that’s one of the reasons we expect to have a stronger organic performance on the second half of the year, than we’ve had in the first half.
Unidentified Analyst: Great, thank you. And then secondly regarding M&A, you’ve highlighted about $0.02 to $0.04 of upside with Schrader. What about [indiscernible] and Delta, is there any color you can provide on potential upside?
Paul Vasington: They are performing as expected. No change there.
Unidentified Analyst: Okay, great. Thank you very much.
Paul Vasington: Thanks.
Operator: Thank you. As there are no more questions, I’d like to turn the conference call back over to Mr. Sayer for closing remarks. Mr. Sayer.
Jacob Sayer : Thanks Steve. I would now to thank you all for joining our second quarter 2015 financial results call today. Sensata will be participating in Citigroup’s Technology Investor Conference in New York on September 8. This event will be webcast like and available for replay from the Investor Section of our website at sensata.com. We appreciate your continued interest in and support of Sensata and look forward to speaking with you on the road and again next quarter. Thank you and good bye.
Operator: That concludes the call for today. You may now disconnect.